Operator: Good afternoon, ladies and gentlemen, and welcome to the Evertz Q2 Investor Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now to turn the conference over to Brian Campbell, Executive Vice President of Business Development. Please go ahead.
Brian Campbell : Thank you, John. Good afternoon, everyone, and welcome to Evertz Technologies’ conference call for our fiscal 2025 second quarter ended October 31, 2024. With Doug Moore, Evertz's Chief Financial Officer and myself, Brian Campbell. Please note that our financial press release and MD&A will be available on SEDAR and on the company's investor website. Doug and I will comment on the financial results and then open the call to your questions. Turning now to Evertz's results, I'll begin by providing a few highlights and then Doug will provide additional details. First off, sales for the second quarter totaled $125.3 million, up 12.2% sequentially from the prior quarter and revenue in the U.S. Canada region was $94.9 million, up 28.2% sequentially. Recurring software services and other software revenue increased 23.7% year-over-year totaling $54.8 million in the quarter. Our base is well diversified with the top 10 customers accounting for approximately 45% of sales during the quarter with no single customer accounting for over 16% of sales. In fact, we had 134 customer orders of over 200,000 in the quarter. Gross margin in the quarter was $74.3 million or 59.3% which is within our target range. Investments in research and development during the quarter totaled $36.3 million. Net earnings for the second quarter were $15.9 million while fully diluted earnings per share were $0.21. Evertz's working capital was $199.8 million with cash of $61.7 million as at October 31, 2024. Operational highlights for the quarter include Evertz's stellar presence at the International Broadcast Conference where Evertz RF over IP platform was recognized with a TVB Best of Show award and Evertz DreamCatcher Bravo Studio won a TV Technology Best of Show award. DreamCatcher's advanced data driven co-pilots provide the ability to automatically create clips, playlists and stories using AI with large language models and deep machine learning technology making live productions even more creative and efficient. At the end of November 2024, Evertz purchased order backlog was in excess of $298 million and shipments during the month were $50 million. We attribute this strong financial performance and robust combined shipments and purchase order backlog to channel and video services proliferation, increased global demand for high quality video anywhere anytime, the ongoing technical transition to IP, IT and cloud-based architectures in the industry and specifically to the growing adoption of Evertz IP based software defined video network solutions, Evertz IT and cloud solutions, our immersive 4K, 8K Ultra High Definition solutions, our state of the art DreamCatcher IP replay and live production with Bravo Studio featuring the iconic studio audio. Today, Evertz Board of Directors declared a regular quarterly dividend increase to $0.20 per share payable on or about December 24th. I will now hand it over to Doug Moore, Evertz's Chief Financial Officer to cover our results in greater detail.
Doug Moore : Thank you, Brian, and good afternoon. Looking at sales, revenues were $125.3 million in the second quarter of fiscal 2025, compared to $130.7 million in the second quarter of fiscal ‘24. That's a decline of $5.4 million or 4% quarter-over-quarter. For the six months ended October 31, revenue was $236.9 million compared to $256.6 million in the same period last year. That represents a decline of $19.7 million or 7.7%. As it relates to revenues in specific regions, the U.S. And Canadian region had revenue for the quarter of $94.8 million compared to $74 million last year. That represents an increase of $20.8 million or 28% quarter-over-quarter. Revenues in the U. S. and Canadian region were $168.8 million for the six months ended October 31, 2024, compared to $161 million in the same period last year, an increase of $7.8 million or 5%. The international region had revenues for the quarter of $30.4 million compared to $56.7 million last year. That's a decrease of $26.3 million quarter-over-quarter or 46%. The international region represented 24% of total sales this quarter. For the six months ended October 31, international revenue was $68.1 million compared to $95.5 million in the same period last year, a decline of $27.4 million or 29%. Gross margin for the second quarter was approximately 59.3% compared to 59.7% in the prior year quarter. And for the six months ended October 31, gross margin was approximately 59.3%. Both the quarterly and year to date margins are within our target range. Looking at selling and administrative expenses, S&A was $18.4 million in the second quarter, an increase of $0.9 million from the same period last year. Selling and admin expenses as a percentage of revenue were approximately 14.7% as compared to 13.4% for the same period last year. For the six months ended October 31, selling and administrative expenses were $36 million an increase of $2.1 million from the same period last year, and selling and administrative expenses as a percentage of revenue were approximately 15.2% over the period. Research and development expenses were $36.3 million for the second quarter, which represents a $4.1 million increase from $32.2 million in the second quarter last year. The increase includes $1.9 million in increased salary and benefit costs and $0.6 million in specialized service costs. Just to provide a bit more color on the specialized service costs, that relates to the modernization of certain IP and can code that we purchased from [Indiscernible] a couple of years ago. That project is now substantially completed from an external cost perspective. As a percentage of revenue, R&D expenses were 29% as compared to 24.6% in the prior year. And for the six months ended October 31, research and development expenses were $73.7 million represents an increase of $9.5 million over the same period last year. And research and development expenses as a percentage of revenue were approximately 31.1% over the period compared to 25% for the same period last year. Foreign exchange for the second quarter was a gain of $0.8 million as compared to a $2.9 million gain in the same period last year. The relatively nominal gain this quarter is driven by slightly stronger U.S. Canadian dollar between July 31, which we closed at approximately CAD1.38 to $1 and October 31, which we closed at approximately CAD1.3 million to U.S. dollars. Foreign exchange for the 6 months ended October 31 was a gain of $0.8 million as compared to a gain of $0.9 million in the same period last year. Looking at the liquidity of the company, cash as of October 31 was $61.7 million as compared to net cash of $86.3 million as at April 30, 2024. And working capital was $199.8 million as at October 31, compared to $201.4 million at the end of April 30, 2024. Now looking at cash flows, the company used cash from operations of $9.6 million. That is net of a $31.5 million change in non-cash working capital and current taxes, and that includes a quarterly decrease in accounts payable of $21.8 million and a decrease in deferred revenue of $7.4 million. If the effects of the change in non-cash working capital and current taxes were excluded from the calculation, the company generated $21.8 million in cash from operations during the quarter. Looking at investing activities, the company used cash of $1.4 million which was predominantly driven by the acquisition of capital assets and the company used cash in financing activities of $18.7 million which was principally driven by dividends paid of $14.8 million and the purchase of capital stock under our NCIB for $1.8 million. Subsequent to the quarter, that NCIB has since expired, but we did renew for a new NCIB effective November 27. Finally, looking at our share capital position as at October 31, 2024, shares outstanding were approximately $76 million and options and equity based restricted units outstanding were approximately 5.5 million. The weighted average of shares outstanding were 76 million and weighted average fully diluted shares was 76.8 million for the quarter ended October 31. That brings us to conclusion with a review of our financial results and position for the second quarter. Finally, I would to remind you that some of the statements presented today are forward-looking, subject to a number of risks and uncertainties, and we refer you to the risk factors described in the annual information form and official reports filed with the Canadian Securities Commission. Brian, back to yourself.
Brian Campbell : Thank you, Doug. John, we're now ready to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Thanos Moschopoulos from BMO Capital Markets.
Thanos Moschopoulos: Hi, good afternoon. There is a significant discrepancy in the growth rate between the North American region and international. I'm fully aware that you have a project based business and you can have some quarterly lumpiness, but just is there anything else to call out in terms of the difference in growth rates between the regions?
Doug Moore : One thing I could note is in Q2 we did have last year I should note in Q2, we did have a large projects for approximately $15 million in revenue that related to something we had press released about a year and a half ago. There was a bit of a large spike in Q2, Q3, some of that related to that project. That's one thing to call out when looking at year-over-year comparables.
Thanos Moschopoulos: That's helpful. Brian, anything that you would say more generally in terms of spending environment is status quo or are you seeing any significant difference versus say the prior quarter in that regard?
Brian Campbell : So internationally as Doug said it's more project related. However, we are seeing very robust quotations and purchase orders in our North American region.
Thanos Moschopoulos: Okay. And if we look at the November shipments and I mean just kind of comparing it to last year, is the implication that revenue for the upcoming quarter should be maybe up sequentially from what we saw in Q2?
Brian Campbell : We are starting with a very strong first month shipments to November shipments that equals the highest that we've had in a disclosure period for monthly shipments. So we've got a very good Q3 start. And we're sitting on a very solid backlog at $298 million. That's again too -- so the combination of backlog and shipments is very solid.
Thanos Moschopoulos: Okay. From an OpEx perspective, any say you'd call as we think about the near term trajectory, I mean aside for the $0.6 million related to the Harmon cost you called out?
Doug Moore : Yeah. So I mean just looking sequentially, I mean this quarter we did have IBC as Brian mentioned we attended there. So if comparing Q1 and Q2, we're up around $0.8 million. I mean, the largest increase being $700,000 to $800,000 in trade show and promotion costs, just largely attributed to IBC, frankly. So that's one thing to call out. Obviously, we still have trade shows in that in Q3, but that is a bit of a spike on the M&A side. On the R&D side, we're actually down a bit sequentially. So we're down just around $1.1 million. About $500,000 of that relates to in Q1, we have a lot of summer co-ops that joined that didn't occur in Q2 and that wouldn't increase in Q3, but it would reoccur in a future year. That and yes, so other than that kind of special project, we're working on some modernization of IP being done. Yeah, that's all I have to call out really.
Thanos Moschopoulos: Okay. And finally, the software and services revenue obviously had some very good growth year-over-year. Should I mean, I guess longer term we should expect that trajectory I think to continue as far as becoming a bigger part of the mix. But just if you think about sort of next couple of quarters, would you also expect a similar dynamic with software and services becoming a higher component or as you look at your backlog, is there also strong hardware opportunity you're seeing as well in the backlog and pipeline?
Brian Campbell : We continue to see strong hardware in the backlog and pipeline. It's a significant component, but definitely the recurring software services component of the business is one that we're emphasizing and have been growing pretty significantly in the last years. So that trend of us emphasizing recurring software and services and other software is an ongoing push.
Operator: Your next question comes from the line of Robert Young from Canaccord.
Robert Young: Sorry, I was on mute. I think you said in the prepared comments that deferred revenue was down. I'm not sure if that's quarter-over-quarter or year-over-year. But if you could just dig into the drivers behind that?
Brian Campbell : Sure. So it's down quarter-over-quarter, so since July 31 and also since April 30 at year end. If you look the past 12 to 18 months, it has ramped up quite a bit. And now it's really -- it's a timing of it's largely services and software solutions as the majority of it and it's been triggered by some milestones being met. So whether it's commission finalization of commissioning or site acceptance or some cases just the amortization of cash upfront for warranties and long term services. So that's the broad explanation.
Robert Young: Okay. So more related to long term projects as opposed to something to do with recurring software or software contracts?
Brian Campbell : Sorry, those could be the same, right. So you could have a long term software service contract.
Robert Young: Okay. So maybe I'll ask it a different way. Would the deferred revenue -- would it be down because of hardware related or hybrid contracts or would it be related to something to do with the software growth? Because just given the software growth seeing the two things at the same time trying to understand that.
Brian Campbell : Sure. So what I would say again is that the majority of deferred revenues related is not all of it, but majority of it is software or service related. There is certain large projects in the past year, including the one we press release that there is a lot of cash upfront for a longer term and some of that is being amortized into revenue over time that is exceeding the cash received.
Robert Young: Okay. I see you raised the dividend. Is there any insights you can give into the policy or the thought process that the Board goes through in making that decision? I guess it's the third year I believe where it's been raised annually. So is that the driver, maybe just give a sense of where the Board is thinking?
Brian Campbell : Yes. So I guess technically would be the fourth year, fourth increase that we've had. But yes, the board looks at the dividend, the business outlook going forward, the strength of our balance sheet and the increasing quarterly dividend does reflect the ongoing confidence of the board and the business prospects for our business.
Robert Young: Would it be fair to say that you intend to raise that dividend annually going forward or is that going to be a decision to make every year?
Brian Campbell : That's a decision that the Board makes every year, but that has been the trend.
Robert Young: Okay. And then the last question for me will just be around the backlog down a little bit, but just give a sense of how much do you expect that to convert over the next year? That'd be helpful. And I'll pass the line.
Brian Campbell : Yeah. So the backlog is up sequentially. So we're quite proud of the fact that it's up another $12 million in the quarter. And Doug, I believe it's 40% to 45% of the backlog is greater than 12 months out. So the bulk of it is deliverable in the next 12 months.
Operator: There are no further questions at this time. I will now turn the call back to Brian Campbell for closing remarks. Please continue.
Brian Campbell : Thank you, John. I'd to thank the participants for their questions and to add that we're very pleased with the company's performance during the second quarter of fiscal 2024, which saw continued strong quarterly sales of $125.3 million, solid gross margins of 59.3% in the quarter, which together with Evertz disciplined expense management yielded quarterly earnings per share of $0.21. We're entering the second half of fiscal 2025 with significant momentum fueled by a combined purchase order backlog plus November shipments totaling in excess of $348 million, up $12 million from the prior quarter. By the continued adoption and successful large scale deployments of Evertz IP based software defined video networking and cloud solutions, by the largest broadcast new media service provider and enterprises in the industry. And by the continuing success of DreamCatcher Bravo, our state of the art IP based replay and production suite. With Evertz significant investments in software defined IP, IT and cloud technologies, the over 600 industry-leading IP SDN deployments and the capabilities of our staff, Evertz is poised to build upon our leadership position in the broadcast and media technology sector. Thank you everyone and good night.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.